Operator: Good afternoon, ladies and gentlemen, and welcome to the Aurubis Analyst Conference Call on the occasion of the publication of the annual report fiscal year 2022/'23. [Operator Instructions] Let me now turn the floor over to Elke Brinkmann, Head of Investor Relations.
Elke Brinkmann: Thank you. Good afternoon, everyone, from my side as well. We are delighted to welcome so many of you to this conference call, which we had originally planned for December 6. The postponement to today was due to the additional time needed to address the investigation of the criminal activities directed against Aurubis and the impact on preparing and auditing the financial statements. With me today are our CEO, Roland Harings; and our CFO, Rainer Verhoeven. They will explain our results for the past fiscal year and will, of course, comment on the impact of the criminal activities, provide an outlook for the current financial year and share details on our strategic projects and developments at Aurubis. Then we'll have time for Q&A. [Operator Instructions] With that, I hand over to Roland Harings.
Roland Harings: Okay. Thank you, Elke. Also from me, a warm welcome to our conference call today and looking forward to, I'm sure, intensive discussion and Q&A after our presentation here. So let me start with the first slide here, and Aurubis is a strong company. It has been an eventful year, yet we closed with a really acceptable result. Despite a cyber attack, accidents and the criminal activities directed against Aurubis, my colleagues on the management team and we, as representative of the Executive Board are really proud to have managed these events and achieved good results in this fiscal year -- in the last fiscal year. During this event full year, we stayed focused, made good progress on our strategic agenda and moved significantly forward with the existing strategic projects. On top of existing investments, we continued on the strategic course and presented further strategic investments to the Supervisory Board, which were approved. The strategic project like the new Precious Metals refinery, the second phase of RDE in Hamburg and the optimization of slag processing and expansion of the solar park in Pirdop will be represented during the call in more detail. And despite the previously mentioned incidents supported by good market conditions for concentrates and recycling materials and ongoing high demand for our cathodes and for wire rod, we were able to generate an operating EBT of EUR 349 million. Correspondingly, our ROCE ended the year with 11.3%. The very good net cash flow of EUR 573 million represents a significant step-up in our year-over-year comparison, despite the reduced earnings of the group, showing the earnings potential of the business this year. With this net cash flow, we were able to finance a significant part of the company's growth investments through operating cash flows. With this year's earnings and taking into consideration the investment plan of the strategic agenda, the Supervisory Board and the Executive Board will propose a dividend of EUR 1.40 per share to our shareholders at the AGM in February '24. As the precious metal processor, Aurubis has an exposed position in the market. The criminal activities directed against us, particularly the degree of organization and professionalism among the perpetators, demonstrated this fact all too clearly, a situation that can lead to potentially significant financial losses at Aurubis, as you have seen. We plan now to report regularly on the fraud case and also transparently within the limits that the investigation do allow to share new findings with you. Today, we are updating you with the current state of the investigation. And please, next slide. The most recent findings are -- and you can see in details more information in our annual report. The investigation has since confirmed that the considerable part of the shortfall is attributable to criminal activities in the recycling area. The newest information places the focus on the material group catalyzers, used catalyzers from vehicles, which contain high levels of precious metals. It has also been confirmed that samples were internally manipulated in the recycling area and with the result of a high double-digit million euro shortfall in the inventory take. Forensic findings and comprehensive internal scenario analysis indicate that the additional shortfall in precious metal was caused by criminal activity. Presumably, a low triple-digit million euro amount, which is included in the total amount that we have released. We are unable to provide any more information on the latest finding, since the complex investigation involving police and other departments is still ongoing. Talking about the financial impact. On -- our fiscal year '22/'23 result was, as anticipated, significantly influenced by the fraud case and the criminal case that we disclosed, slightly less than originally predicted in our messages that we sent out in September. However, we initially disclosed a shortfall of EUR 185 million on August 31, and following the inventory completed at the end of the fiscal year. So on reporting date, September 30 of '23, the total difference was valued at EUR 169 million. The positive deviation to the initial number is part due to the different metal prices on the respective measurement date, but can also cannot be fully reconciled with the inventory difference measured and disclosed on August 31. EUR 30 million of the total difference in the shortfall of EUR 169 million is covered by claims for reimbursement from insurance. To prevent similar cases on this scale from happening again, we have enacted a variety of security measures. Once the criminal activities came to light, we assessed the key processes in precious metal processing for possible security risk and device measures for mitigating risks. External experts were involved in this process and did not rule any possible criminal activities out, which is to say the risk mitigation measures are quite broad and comprehensive. Based on the initial findings from September, the group-wide safe project team, upgraded security measures in a variety of ways, such as increased checks of people and vehicles, along with intensified surveillance in sensitive areas. Additional approval levels were also introduced for specific material groups in raw material purchasing. Our clear goal is to increase our security level to a point where manipulations and fraud on this scale are extremely unlikely to reoccur in the future. Plus, by optimizing the inventory area and adapting inventory and working processes in the future, we will be able to identify differences that go beyond what is customary in the industry earlier. We also consider security issues in our investment decisions. For example, the new precious metal processing plant approved in December will be constructed in Hamburg in keeping with the highest security standards, very much reinforcing the security level of this processing plant. As you can see, plant security is one of our highest priorities, and we will continue strengthening the security and safety culture throughout the entire group. Let's move on to the next item on the agenda. A brief look at the production numbers in detail. The operating performance of both the primary and secondary assets in the group was rather stable. With this year's shutdown in Pirdop, concentrate throughput was slightly below previous year figures. The secondary smelters reached a good level yet again. In total, Aurubis again processed significantly above 1 million tonnes of recycling materials. Capital output was in line with the previous year's figures, based on the stable performance of the tank houses in the group. Based on ongoing demand -- good demand for wire rod, production was pretty much in line with previous year figures, while shapes and flat rolled products production was subdued to the reduced demand in -- mainly coming also from the building industry. In the case of FRP, please keep in mind that the previous year numbers included production volumes of companies that have been sold last fiscal year. Sulfuric acid production was again in line with concentrate throughput, so also slightly below previous year's figures. Looking at the next chart, it's easy to see that mostly pre-corona conditions now prevail on our various markets again. The copper and metal prices in general showed volatile development during the reporting period. The copper price ranged between USD 7,500 and USD 9,300 during the reporting period, reflecting macroeconomic and geopolitical developments. Let's have a look at the different markets. Aurubis saw a good supply situation in quantity and quality of concentrate with increased TC/RCs during the reporting period. This was supported by new availability of concentrates on the custom traded market from new mining projects. There have been initial references from contracts in the industry indicating a slight decrease of TC/RC level as of calendar year 2024. With our long-term sourcing strategy, we remain positive about the earnings contribution of TC/RCs for the CSP segment in the coming calendar year as well. Aurubis supply situation with concentrate is covered well into Q2 '23, '24, so its long-term supply strategy remains intact and is the right way forward for our company. Looking at the recycling markets. Over the course of the fiscal year '22/'23, we have seen sufficient availability of scrap material on the global sourcing markets with good RCs during the reporting period. CRU estimates an average RCE of EUR 365 per tonne over the fiscal year '22/'23 for copper scrap #2 without logistics. This compares to EUR 300 per tonne in the previous year. RCs for complex recycling material were even more stable and less volatile during the fiscal year. Looking forward, our production sites are already supplied with material well into the second quarter of the current fiscal year. Coming to sulfuric acids. The sulfuric acid market normalized during the fiscal year '22/'23 from the previous very high levels. Subdued demand from the European chemical and fertilizer industries driven by high energy prices caused asset prices to decline significantly. In a historical context, price level remained at good levels for Aurubis. Given the current market situation, we expect a slightly lower earnings contribution from asset sales in the current fiscal year. The latest market developments are also somewhat optimistic and signaling a slight upward trend in demand, hence, pricing. ACP, our Aurubis copper premium for calendar year '23 was set at USD 228 per tonne, underpinned by ongoing strong demand in Europe. Going forward, the ACP for 2024 calendar year will remain at USD 228 per tonne as announced to the market and to the customers. So we roll over ACP, supported by a solid demand in the European market space. And last, U.S. dollars, Aurubis, as you well know, has a long position of USD of USD 640 million in the fiscal year '23/'24. Within the scope of our hedging strategy, we have 83% hedged at 1.103 for fiscal year '23/'24, and around 22% at a rate of 1.091 for the fiscal year '24/'25. And with this, I would like to hand over to Rainer sitting next to me.
Rainer Verhoeven: Thanks, Roland, and good afternoon, ladies and gentlemen, also from my side. Let's move from the markets to the financial figures for the fiscal year '22/'23. Revenues have decreased by 8%, EUR 1.4 billion, roughly driven by the lower metal prices, mainly and in particular, in the industrial metals like copper and tin. In line with the lower revenues, gross profit decreased by 11%. This is mainly driven by the financial impact of the criminal activities directed against Aurubis. Roland has explained it already in detail. We'll get to the details of the earnings drivers when we talk about the segments later. As already released, Aurubis was able to generate an operating EBT of EUR 349 million, yes, significantly below the previous year's figures. Last not least, the ROCE of 11.3% still reached decent levels with increased capital employed. Please keep in mind that we have invested something like EUR 630 million in the last fiscal year, thus -- unlike -- well, the asset -- the fixed assets have increased quite substantially. And of course, due to the subdued earnings, the ROC is a bit lower. At this point, I'd like to mention also the comprehensive explanations of the financial implications resulting from the criminal activities directed against Aurubis in the annual report. This year's operating earnings include income of EUR 30 million from the recognition of an insurance reimbursement. Details on the valuation of the inventory effects can also be found in the annual report. Looking at the gross margin. The gross margin split for '22/'23 reflects this year's events, driven by good market conditions for both concentrate and recycling materials and ongoing strong demand for our products, those 2 pillars have quite strongly increased. On the other side, the metal gains decreased significantly, driven by lower metal prices and of course, the financial implications of the criminal activities. Despite generally higher inflation, Aurubis energy costs were the biggest contributor to the cost decrease year-over-year. The overall picture of our fiscal year figures shows that the cost split remained rather stable versus last year, with energy trending back towards a lower, though still elevated level on a historical comparable context. Personnel costs show a slight decrease year-over-year, driven also by lower performance-related compensations, so the bonification for personnel and reduced numbers of personnel as well. Please bear in mind that last year, we still had the flat rolled business companies that were sold in the personnel figures as well. Consumables, like chemicals, packaging materials and logistics have shown an increase year-over-year which was due to, of course, one side high production volumes, but also a very steep increase in prices for certain input materials, especially consumables. The energy price development, we have repeatedly, let's say, discussed and broadly discussed it. I tend to say it is a kind of a no show for Aurubis over the course of the last fiscal year. We saw a significant decrease in total energy costs of 27% or EUR 91 million in the Aurubis Group, which was mainly related to lower electricity costs, while natural gas still slightly was increased in a year-over-year comparison. For '23/'24, we expect a more stable energy bill with the German and the European storage of natural gas looking more comfortable than it was before the last winter. Looking forward, we'll continue to work on the further electrification on the one side of our production processes and invest in further decarbonization of our production. A good example is the further expansion of our photovoltaic park in Pirdop. Sourcing more green electricity and optimizing our sourcing portfolio has also led to a significant reduction of our indirect emissions related to purchased electricity. So our Scope 2 emissions have decreased as well. Having a secure supply of energy at reasonable prices remains a very relevant topic for Aurubis in general. Going to the key performance indicators, they continue to show a very solid and robust picture. An equity ratio of almost 57%, a still negative debt coverage and a strong net cash flow of over EUR 570 million provide financial room for the company's strategic investments. In a year-over-year comparison, the net cash flow clearly improved despite reduced earnings based on a reduction of inventories and good demand for our metals. Also the product business has been quite strong, generating some cash flow here. With this net cash flow, we were and we are able to finance the majority of our investments from our operating cash flow. With the already increased investments into our asset base, we still have a very comfortable financing situation for the strategic growth part of our company. Let's now have a quick look at the balance sheet. The increase in our fixed assets clearly show that we are in a growth mode. The inventory decreased, in connection with the reduction of concentrate and refined copper. But please bear in mind, this is the situation at the 30th of September, we will see a huge swing throughout the year now when we are preparing for the [indiscernible] in Hamburg. The reduced cash position of minus EUR 212 million is mainly due to the high investments on the one side for the strategic and the baseline CapEx, but it's also due to the repayment of a so-called [indiscernible] in a promissory note, which we paid out of our own cash back in the amount of EUR 80 million last year. The financial stability of the Aurubis Group was reflected again in another increase of the equity on the balance sheet. The equity ratio reached 57% almost. Moving on to the segments. As most of the earnings drivers have already been touched on, let me briefly highlight some financial and production figures from the multi-metal recycling segment. All in all, operating performance and hence, throughput levels were good, while cathode production was slightly below the previous year levels. MMR benefited from higher refining charges for recycling materials and higher premiums, while metal gains were subdued due to the lower metal price levels, tin has been mentioned already. As a result of the lower EBT and considerably increased capital employed due to the investment, especially now here in Aurubis Richmond, the ROCE of the segment came in at only 15.4% which is still above the target, but for sure, lower than the previous year. Moving to CSP. So Custom Smelting & Products, the operating EBT there reached EUR 241 million, significantly below last year. Again, the criminal activities that were directed against us took mainly place or took solely place here at our Hamburg side, which is in the CSP segment and therefore, it was significantly impacted by those effects. The financial impact is reflected in the significantly reduced metal gains in the segment CSP. On the positive side, the segment benefited, both from higher TC/RCs for concentrate and a very high demand or continuously high demand for our refined copper and especially in the wire rod business. On the cost side, the segment benefited from the subdued energy costs, in particular, while other cost factors already mentioned like the consumables, logistics and maintenance were slightly above the previous year figures. On the product side, as mentioned, rod demand is still very strong, while demand for shapes and also the whole flat rolled business was significantly subdued year-over-year by lower demand, mainly from the construction sector, but also recently in the automotive business. The return on capital employed, ROCE, reached 13% compared to 18.7% in the previous year. With this year's earnings and taking into account the investments in the coming years, we still want to allow, let's call it this way, our shareholders to participate appropriately in the company's success. Therefore, we, as the Executive Board, put together with the Supervisory Board, are recommending a dividend of EUR 1.40 per share. This would correspond to a dividend yield of 2%, based on the share price of EUR 70.14 on September 30 '23. This corresponds to a dividend payout ratio of 23% of the group's operating result. Let's move to the outlook for the markets for the fiscal year '23/'24. The concentrate market remains on a growth track, from both the supply and the demand side. However, recent events, especially in Panama and production cuts on the mining side have put some pressure on the TC/RC terms on the global market. With the first reference on the market at USD 80 per tonne and 0.08 per pound, Aurubis will still be able to profit from good terms for processing concentrates. Based on our expected stock levels, as already mentioned by Roland, earlier, Aurubis is already supplied well into Q2 of the fiscal year '23/'24. For the market of copper scrap, we anticipate a stable supply, with RCs at good levels well into the first quarter. The copper scrap market remains a short-term market defined by short-term developments and factors like collection rates and metal prices are, of course, important here. The availability of complex recycling materials, however, like shredder materials, PCBs, residues, slacks and ashes, is expected to stay at stable levels. We foresee equally stable RCs for those materials as the market is less volatile and due to the fact that we have longer-term contracts here, not so much spot exposed. Our production plants are supplied with recycling material well into Q2 of '23/'24. On the sulfuric acid, ICIS expects a normalization of price levels for sulfuric acid due to ongoing high energy prices for European fertilizer and chemical industry. Latest markets developments show a slight upward trend for the prices. All in all, we foresee a slight reduction in sulfuric acid revenue year-over-year. The Aurubis copper premium for calendar year 2024 has been set at $228 per tonne, the same as in the previous year. Coming to the copper products, rod shapes and the flat rolled business, we foresee a stable and continuously strong demand trends for wire rod, while expectations for shapes and the flat rolled business is expected at stable but subdued levels, due to lower demand from the construction business for example. Based on our latest assumptions for both earnings drivers and cost components, Aurubis is providing a forecast for the group result and continues to expect a good operating EBT between EUR 380 million and EUR 480 million and an operating ROCE between 10% and 14%. For the multi-metal recycling segment, we expect an operating EBT between EUR 60 million and EUR 120 million and an operating ROCE between 5% and 9%. Of course, here, the anticipated ROCE is low, due to a large part -- due to the growth investments that we are doing in Richmond and other strategic investments. For the Custom Smelting & Products, we expect an operating EBT between EUR 410 million and EUR 470 million and an operating ROCE between 19% and 23%. With that, I hand back to Roland.
Roland Harings: Thank you, Rainer. So next, I would like to recap the Aurubis strategy and the investments we are undertaking in our smelter network. As we announced at our Capital Market Day, we are continuing to move projects through our stage gate process, and once they reach the maturity level for Executive Board and consequently Supervisory Board approval, we will announce new projects to the capital market. On November 29 and on December 12, we announced further strategic investments and environmental protection projects, which we will explain in detail and provide an update in our financial guidance. This being said, we have updated our financial guidance, taking the newly announced projects into consideration. With the additional projects approved, November and December, we plan to invest EUR 1.7 billion in strategic projects in the short term. Aurubis, therefore, clearly remains in growth mode. We are heavily investing in the expansion and optimization of the smelter network. However, this naturally also includes projects such as the recently approved precious metal processing plant in Hamburg. It is also part of our business model that we have to make replacement investment with an initially lower return. Our strategic projects will start bringing a positive EBITDA contribution which will ramp up over the next 3 to 5 years to EUR 260 million annually. The next steps and project on our strategic agenda have been identified and are progressing through our stage gates as we announced them in our Capital Market Day. In the medium term, we will also continue with clear and identified projects that will contribute positively to our smelter network and to the bottom line. With additional investments for Aurubis strategic road map, we will continue to invest in expanding the smelter network and providing capacities for further investments. We will also continue to invest into our existing asset base and move fast forward on our path to carbon neutrality. We have decided to go forward with investments in the environmental protection, which are under the item line of baseline investments. This incorporates the CapEx for the second phase of our project, RDE, the reduced reduction of diffuse emissions, the CapEx, which is assigned in the baseline CapEx line. Going forward, we will continue to provide an update on CapEx guidance at a group level to provide clear guidance for the capital market and communicate the progress of our strategic investments. Highlighting one of the key projects here for Hamburg. This new precious metal plant will have 2 main objectives: firstly, the planned security of the physical metal with various security layers leading to the closed perimeter protection of the entire asset, making Aurubis enter plant in Hamburg, more secure and robust. And secondly, we will create additional precious metal capacities for our strategic growth projects, as a large number of these will also lead to additional precious metal output. Aurubis will specifically increase the capacity for gold, silver and PGM progressing. A new technology developed in-house will allow us to recover precious metals more efficiently and faster from the input materials. This will result in improved net working capital and also reduced operating costs. Compared to the concept of the current plant, material flows will be simplified, processing times reduced and flows will become more automated, meaning that we will require less production personnel and be more energy efficient. All in all, operating costs for the new PM refinery are expected to be around 15% below the current operating cost. The PM refinery in Hamburg will consequently replace the existing precious metals refinery and will be, no doubt, state-of-the-art facility. So all in all, the EUR 300 million investment will bring significant improvements to security and process efficiency. By the way, this precious metal plant has been designed in the last 2 years. It was part of our strategic agenda and was planned to bring to final approval in December, which we did that with the Supervisory Board. Coming to another important project in Bulgaria. Aurubis is investing around EUR 46 million in improving the slack processing at our site in Bulgaria. Full commissioning is planned for Q4 '26, and we anticipate an additional contribution to earnings in the mid-single digit million euro range from increased material yield starting from the fiscal year '26/'27. First and foremost, the project represents an important contribution to environmental conservation. In the future, the cooling of slacks will no longer take place in open pits, but in over 200 specialized slack spots instead. The current cooling process is an improved method in the industry. With the new slack processing approach, Aurubis is again going above and beyond current ecological standards. By optimizing this slack processing, we are considerably reducing the emissions generated by the previous method. This investment represents a key contribution to achieving our ambitions -- our ambitious sustainability targets. At the same time, it highlights our dedication to continuously improving our approach to mitigate climate change and protecting the environment. Also, this new process will be a step forward in occupational safety. In addition to benefiting the environment, the new method will also improve the metal yield by reducing copper loss in the slack. Coming to the next slide. Looking at the picture, you see it's truly impressive to witness the progress of the site enrichment. We are well on track to execute the project as originally planned. On November 8, First Lady, Dr. Jill Biden visited our Aurubis Richmond site. Aurubis is creating long-term secure jobs for more than 200 people here in an industry that is strategically important to the U.S. The metals we returned to circulation are essential to the mobility and energy transition and an important contribution to the electrical vehicle ecosystem, which also fits perfectly with Georgia's Electricity and Mobility Innovation Alliance initiative. The workforce Hub initiative supports our commitment to training workers for the challenging tasks in our secondary smelter. The pro business climate and excellent infrastructure in Georgia, including logistics and a stable energy supply at competitive prices, provide Aurubis with perfect conditions for profitable growth. Thanks to the support of Georgia state officials, we continue to see opportunities for contributing our expertise and becoming a multi-metal recycling pioneer and large player in the U.S. On top, the Inflation Reduction Act offers great potential to even accelerate Aurubis future U.S. growth and investments, helping position the Southeast as a leading ecosystem for EV and multi-metal recycling. We are in a strong financial position as a company and ready to invest more in the U.S. in keeping with our metals for progress driving sustainable growth strategy. Due to the current inflationary environment, the Supervisory Board also approved an investment volume increased to EUR 740 million for the construction of the Aurubis Richmond plant in U.S., to which leasing obligations will be added. Additional design and infrastructure requirements, adjustments for significant inflation effects in mainly the assembly of the equipment and also increased complexity of the implementation needed this additional CapEx expansion. Aurubis is clearly processing -- sorry, Aurubis is clearly progressing in reducing its environmental footprint and in particular, in reducing Scope 2 emissions as displayed. With the investment of another almost EUR 50 million into the further expansion of the solar park, Aurubis is taking the next steps towards sustainable multi-metal production at our site in Pirdop in Bulgaria. With what we learned from our first PV plant in Bulgaria, we will be able to generate a very good efficiency rate of our solar panels, and it's a very attractive project to generate our own electricity. With this investment, we are almost doubling the output of the existing plant, and the third stage currently under construction adds another 18-megawatt peak to the total and for a total of at the end of 42-megawatt peak. So a very significant solar park next to our plant. Once complete, the entire park will generate 55,000 megawatt hours of electricity per year, covering over 10% of our needs in our plant in Bulgaria. To put this a bit in perspective, this solar park will generate enough electricity to power [ 15,000 ] people households, which is an equivalent of a small city. With this, we will reduce or prevent around 28,000 tonnes of CO2 emissions per year. This expansion is approved and is anticipated to go online by mid-'25. Again, talking about environment and sustainability, as part of our mission to become the most efficient and sustainable smelter network worldwide, we are working intensively to reduce our environmental footprint. Instead of resting on our accomplishments, we are focusing on further reducing our emissions. The project involves closing roof openings on the building, housing the primary smelter and connecting them to a new high-performance filter system. The system suctions off and cleans diffuse emissions or dust, then redirects residual quantities to the production cycle, and has already lowered the diffuse emissions discharged from primary copper production by 40%. The new expansion stage will double the systems efficiency to 80%. By endorsing these comprehensive investment project at its most recent meeting, the Supervisory Board affirmed its support for the Aurubis growth strategy and for strengthening our core business. We are making an important contribution to sustainable and environmentally friendly and innovative metal production with these projects. So now you see our nice footprint slide. And Aurubis has done significant progress during the past years with the reduction of CO2 emissions in Scope 2, clearly reducing the environmental footprint of our production process. For Scope 2, we are sourcing more renewable energy wherever and whenever possible. Green PPAs like in Olen are the first modules of the PV plant starting contributing to the reduction of CO2 emissions. With our reduction so far, we are well on track to achieve our 2030 targets, with 50% reduction of CO2 emissions down to only 800,000 tonnes per year. And if you compare ourselves to the industry -- worldwide industry averages, Aurubis can be seen as the leading player with the CO2 footprint, well below half of what's the worldwide average. The same, by the way, is also true for other important metals like tin, gold and silver and other industrial metals. With this, I think, with a positive outlook that we are continuing our path to decarbonize and improve our sustainability, I would like to hand back to Elke.
Elke Brinkmann: Thank you, Roland. We will now start the Q&A session, and I ask the operator to release the line for the first participant.
Operator: [Operator Instructions] And first up is Christian Obst from Baader Bank.
Christian Obst: So first, on Richmond. So the original CapEx plan, if I'm right, was approximately EUR 550 million for the 2 modules and you, after EUR 100 million hikes of CapEx will exceed EUR 700 million now. So the related question is there, can you please be a bit more specific where we had the main additional cost drivers besides inflation, so when it comes to design, execution, infrastructure or whatsoever. So -- and if it is also contain some site improvement, why remains the expected EBITDA contribution at around EUR 170 million? When it comes to the ROCE of this project, it might be then 4% to 5% lower compared to previous calculation. How close are you now to your minimum ROCE requirement with enrichment? So this is the first complex. And afterwards, I will come with follow-up questions.
Rainer Verhoeven: Christian, thanks for the question. [indiscernible]. You're already threatening with follow-up questions. Let's start with Richmond. So the last informed investment was EUR 640 million. And from the EUR 640 million, we went to EUR 740 million, so an increase truly, yes, by EUR 100 million. Out of that, roughly 60% is inflation. Just pure inflation and 20% roughly comes from, let's say, additional design changes. Please remember that we said at the time when we started into the project, that we will do a bold move that not everything is finally and firmly, let's say, engineers to the full end. That, let's say, also caused some risk or some, let's say, additional design that was later on necessary. Then coming to the results. So why are we able to continue achieving an EBT or the contribution of EBITDA, sorry, of EUR 170 million. This is due to the fact that we are, let's say, considering after now seeing how the process goes that we will be able to operate this facility in a more efficient way than originally thought. Why do we think so? Because we have good experiences in running the TBRCs. We have done a lot of extensive testing here in Europe. We know how to run the plant, and we are absolutely sure that we will bring up -- and here only slightly bring up, I have to say, in the EUR 170 million EBITDA, the throughput of the total plant further increases to be expected but not yet calculated here in this respect.
Christian Obst: Okay. And when it comes to the ROCE, so you have higher CapEx, but an EBITDA of EUR 170 million, Roland. So ROCE might be lower than previously expected, right?
Rainer Verhoeven: Yes, absolutely. The ROCE for sure, is going down, but we are still above the threshold overall. With the 2 projects together, so Richmond 1 and 2 counted together, we are above our threshold of 15% for sure.
Christian Obst: Okay. Then when it comes to the new precious metal plant, so how much can you produce more? So you talked about the reduction of costs and being more profitable, of course, going forward, but how much of capacity are you adding from the former a approximately 13 tonnes of gold, 230 tonnes of silver. So with this increase by 10% or more, 25% or 5%, any kind of guidance?
Roland Harings: Yes. Christian. Roland speaking here. So it's a bit different by precious metals. So I cannot give you the one number, because we have very much focused on different process for gold and also for PGMs. And here, we will add significant, which means more than 10%, significantly more than 10% of additional capacity in line with our growth plans in the overall strategic plan. However, this plant is also designed, like you have heard this from us from many other investments, with a certain modularity. That means in the future, we can also add modules into our plant to cope with additional amount. But at this point in time, it's designed with enough headroom for additional capacities in our strategic project pipeline.
Christian Obst: It means that approximately 10%.
Rainer Verhoeven: Sorry, if you allow to add, Christian, so we will also reduce the throughput time for the precious metal. If I'm not mistaken by 3 to 4 days, so that will also, let's say, release some net working capital. And at the same time, we'll have more efficiencies. This reduction of overall operating cost by 15% will also help. But let's be also clear here. This is a replacement investment, yes? This must be clear. This is not much driven by profitability ideas. This is a replacement investment.
Christian Obst: Then when it comes to energy costs, approximately EUR 90 million minus year-on-year, which is impressive. Is there any special impact or was there any special impact during the last year, although you have, of course, many different layers there? And when it comes to the outlook going forward, what do you expect?
Roland Harings: Yes. The main driver is that we receive compensation for embedded CO2 costs in the electricity product, which is a major contribution here, especially in Germany, and we have seen that commodity prices mainly for coal, which, as you know, is one of the pricing elements in our contract with Vattenfall has come down from significant high levels in the past. It's more on -- I would say, on a more reasonable level. And these effects are mainly contributing. Outside of Germany, if I talk about Belgium and also Bulgaria, prices, in general, have come down. And also here, compensation schemes like in Bulgaria were kept in the year. So there are many elements coming together. But overall, as you see, the electricity market has stabilized and has also based on our existing contract here in Vattenfall given us some stability and also some clear predictability going forward.
Rainer Verhoeven: If you allow to add here, going forward, also looking to hedging strategies, whenever we see opportunities also especially outside Germany, we'll try to hedge the electricity, if I look to Belgium, for instance, or the gas prices. So all in all -- and I think that has been stated earlier, you look at EUR 250 million energy costs this -- or the last fiscal year, this remains rather stable-ish in the next couple of years. It can go up or something like EUR 10 million or so, but it will remain around this level for, I would say, at least 2 years.
Roland Harings: And then to add the last point here, given on the natural gas, as we, I think, disclosed or discussed in the past, natural gas is very much used for the production of products for wire rods and shapes. And here with each, let's say, renewal of contracts with our customers, we have now also passed through or kind of an energy clause in the contract so that we are kind of isolated from gas price move at least in the project -- in the product area, which also gives us a stability in the energy price. So you see that -- you have to see a connection between our revenues for wire rod and is example and the energy costs, they are now somewhat connected.
Christian Obst: Okay. One other question concerning -- you had a very strong operating cash flow, of course. Is there any measure above the normal year-end optimization or did you have some kind of a very high working capital before and you are now to a more normal level? Or what drove the very strong operating cash flow?
Rainer Verhoeven: Well, the point here is we always compare year-over-year, which means always it's a spot view, let's say, we focus on the 30th of September. Throughout the year, we have huge swings, huge swings in net working capital. We always and will especially continue to see now in the coming months, running up towards the big stand still more than 60 days standstill in Hamburg, means we will build skyhigh mountains of anode pilots up here, which leads to a huge negative cash flow effect. But if you look now to the 30th of September, at the spot moment, very spot moment, it's always a question of how many concentrate ships do you have in transit or not? Because one, concentrate ship in transit just means EUR 20 million, EUR 40 million more or less cash flow. And the point is, let's call it this way, it was also a bit luck, because we have no influence on how many ships will be shipping away from the mining industry because that is up to the miner. And as soon as they leave the port, the material is on our books. We have to record it on our books. So therefore, there is little influence from our side, and that is also one of the effects. On the other side, good product business, let's say, very strong business in general, still. Don't forget the effect that we had on the criminal cases, if you add them, we are pretty much at the level of the previous year.
Christian Obst: Related to that, the last question is, can you give us an indication how much the financing cost for working capital increased over the last 12 months? So as a percentage, what we are paying for that from, I don't know, 1%, 1.5% short-term financing 2%, 3% or 4%?
Rainer Verhoeven: So I can't answer with a fixed number, but what I can say, of course, as interest rates have gone up, of course, also our financing costs, they've [ gone up. ] But please also bear in mind that we have a huge amount of receivables, also receivables from, let's say, from our customers, which are interest-bearing. So the interest payouts on the one side are, to a certain extent, covered by interest received from our customers.
Christian Obst: Okay. So not much of an increase of costs there.
Rainer Verhoeven: The overall impact here, we were just looking it up, it's EUR 4 million, something like that. So low-digit number.
Operator: The next questioner is Ioannis Masvoulas from Morgan Stanley.
Ioannis Masvoulas: I'll take them one at a time, please. So the first one is just on the strategic CapEx again. I think at the last CMD, you were talking about EUR 1.1 billion of strategic CapEx over the coming years. Now you're talking EUR 1.7 billion. Clearly, there is around EUR 350 million related to the Hamburg investment and the slack processing at Pirdop and another EUR 100 million at Richmond. There's still another EUR 100 million to EUR 150 million that is missing from the reconciliation. I mean is there any other project that we should keep in mind that has been added to the list? Or is it just broader cost inflation?
Roland Harings: Ioannis, Roland speaking here. Ioannis, it's really a list of smaller projects that we have in our pipeline that we have not, let's say, stated publicly. Its investments in various sites, various plants, and given the size of our network, it's adding up to this kind of gap that you see if you make the bridge from the EUR 1.1 billion, which has also some rounding and the EUR 1.7 billion, which has one rounding. So that's really smaller projects, which we are not communicating.
Ioannis Masvoulas: Okay. That's very clear. And then going back to the recycling business, the fiscal year '23/'24 EBITDA outlook looks rather soft. Are there any ramp-up costs associated with the new projects that are impacting results? And you're also talking around weaker financial performance impacting the coming fiscal year, can you talk about that in a bit more detail? What are the main drivers there?
Roland Harings: Yes, sure, Ioannis. You saw the nice picture of the team that we have already in Richmond, which is ramping up. And specifically, this current fiscal year will be the year of ramp-up of setting up the team of training everybody. And so we will have costs in the magnitude of EUR 30 million as ramp-up costs without having any revenues or any bottom line contribution from the operation yet. As we showed, the project is on plan. So the startup process of the plant will be from August onwards. So that means we have the full cost in the P&L of MMR and no revenues yet. So it will come up next time.
Ioannis Masvoulas: Okay. Perfect. And also the financial performance, I think there's a separate statement that talks about weaker financial performance in fiscal year '23/'24. Is there anything specifically to highlight beyond the ramp-up costs?
Rainer Verhoeven: So yes, of course, especially if you look to the slump of metal prices, look to tin, look to zinc prices, nickel price, everything, let's say, compared to a year-over-year comparison has gone down quite drastically. And of course, this is also a function then of our metal result and at the end of our EBT.
Ioannis Masvoulas: Okay. That's fair. And just a last question for me on the broader industry developments. We're seeing China adding significant smelting capacity and that seems to be a trend that is set to continue in the coming years. Do you think you're well placed, that means the rising competition for concentrates? Or do you think you need to take additional steps to future-proof your Custom Smelting business?
Roland Harings: I think, Ioannis, we are well positioned because the size of our company and also the long-term relationship we have established with mines, the investments we have done in the raw material security scheme that Europe and Germany offers. We have long-term contracts. We have a good sourcing strategy and very diversified sources of mines that are working with us, and they want to work with us. So therefore, yes, there are challenges, no doubt, China is building up smelting capacity. On the other side, the world needs also more copper. So therefore, there is also more smelting capacity required going forward. So mining projects are in the pipeline. There is now in Europe, this critical raw material act, which very much focus on incentivizing and supporting all the mining activities in Europe. There are very good resources, mining assets being developed in the Scandinavians in the Balkan. So there are very good deposits for copper. Will they come overnight? Certainly not, but I think there is now a very strong political support that we have also to secure our raw material sources for Europe going forward. So in a nutshell, it's challenging, no doubt, but we are extremely well positioned and are doing the right things to ensure the supply of concentrates going forward.
Operator: And the next question comes from Maxime Kogge from UBS.
Maxime Kogge: I'm Maxime from ODDO. So some of my questions have already been answered, but coming back to CRC, can you confirm to us that the right benchmark to consider for 2024 is $80 per tonne and $0.08 per pound and there has been some contradictory statements reports in that regard. So that would be my first question.
Roland Harings: No, happy to pick this up, Maxime. There have been -- several contracts have been concluded in Asia between miners and major smelters. Yet the industry is a bit unclear. Is this now the benchmark, the $80 and [ $0.08 ] or is there still some ongoing negotiation, which will move? We, in our assumption, also with the guidance that we give to you, we assume that $80 and [ $0.08 ] will be the benchmark going forward. Unfortunately, timing was not, let's say, ideal because these questions around Panama, which is a major source of copper concentrate in the world. This kind of declaration of force majeure came at the worst moment, because just in the midst of the discussion of the first benchmark contract, this kind of risk came to the radar screen. And our good friends from the mining industry didn't miss the opportunity to talk down TC/RCs going forward. But officially, it's not there, but it's our assumption that $80 and [ $0.08 ] is the number for next calendar year.
Maxime Kogge: Okay. That's clear. And precisely on Panama, my understanding is that you saw some concentrates from Panama, according to an old presentation, it was around 5% of your concentrate coming from Panama. So how do you enter the situation there? And do you see some cost headwinds related to that to the fact that very basically, you -- there's nothing coming out of Panama right now?
Roland Harings: No, I think well picked, Panama is a supplier for both smelters, Hamburg and Pirdop, and we have a long, long relationship with First Quantum regarding Cobre Panama. It's really sad to see that this excellent asset really top in all criterias in ESG and quality of concentrate ideally located for European smelters is now, let's say, kind of, I would say, taken hostage in the discussion that have nothing to do with the mine from our point of view. So we hope that people become more reasonable going forward and that this mine is going to restart soon. The advantage of Aurubis again is that we have a very diversified sourcing policy in concentrates. And you mentioned the 5% of Cobre Panama. I don't argue with this number. That's kind of the right ballpark. But it also shows that we have many other sources of concentrate. And so we are able to compensate as we did during COVID when certain supply chains didn't work. So our capability of handling all kind of different concentrates of all kinds of different mixtures is, again, a strength here. So we are able to compensate without any financial disadvantage.
Maxime Kogge: Okay. Now, that's clear.
Operator: At the moment, there are no further questions. [Operator Instructions] And we have a question coming from Bastian Synagowitz from Deutsche Bank.
Bastian Synagowitz: I've got a couple of questions left as well and maybe just starting off on the operational side. So when we look at the fourth quarter numbers, I guess you've been tracking around EUR 80 million pre-tax and that's obviously slightly below the low end of your guidance if we annualize that number. So the improvement to get into the guidance corridor versus the fourth quarter run rate, is it driven mostly by sulfuric acid, where you're currently seeing a nice market rebound in metal profits? Or what is driving that? That is my first question. And then maybe also related to next year, costing this into this. Can you maybe just help us quantifying the start-up costs for the new smelter, which we should be taking into account?
Rainer Verhoeven: So I'll try to answer the question, Bastian, Rainer here. I understood that you are looking to the first quarter of this current fiscal year now and looking for the increase? Or are we talking about the Q4 of last year?
Bastian Synagowitz: Yes. So I was -- so I guess if I take the fourth quarter underlying number, you've been around EUR 79 million or call it EUR 80 million pretax. So to get -- if you analyze that, obviously, we are probably like around EUR 320 million, low end of guidance is EUR 380 million. So you're basically implying an uplift versus Q4 on your average run rate. And I guess my question is, what's driving that uplift versus Q4?
Rainer Verhoeven: Q4 typically end of fiscal year, you are looking to, let's say, doing the impairment analysis and see whether your cash-generating units do have some special effects. So that was one of the smaller parts that the run rate of the quarter was not as expected, let's put it this way. And for sure, the market was also a bit slower in, let's say, the last month of the quarter.
Bastian Synagowitz: Okay. So it's basically a bit like a temporary impact. Could you maybe single out the impairment part, which you mentioned?
Rainer Verhoeven: No, we can't.
Bastian Synagowitz: Okay. And then on Richmond, can you quantify the start-up costs, which you will be incurring there this next year?
Rainer Verhoeven: So we had EUR 30 million we had mentioned earlier in this call.
Roland Harings: Yes, EUR 30 million is the Richmond number.
Bastian Synagowitz: And that was just for this year or...
Roland Harings: This is for the current fiscal year, because as I mentioned, we are ramping up the plant. So the people will be on site. You saw the picture the team is there and additional people are joining and production will not start this fiscal year, but ramp-up will start in August. So therefore, we have the total cost without having a bottom line contribution.
Bastian Synagowitz: And will you capitalize that? Or will you fully judge that against your P&L?
Rainer Verhoeven: OpEx, no, this is OpEx. So the -- let's say, the start-up costs, everything once the plant is ready, this will be going into OpEx. So there is, let's say, a mixture of, on the one side, the CapEx that we have just explained, which goes in total to the EUR 740 million. And there is, for sure, also some start-up costs, as explained, EUR 30 million this year, which we'll put into the OpEx.
Bastian Synagowitz: Okay. Got you. Okay. And then just moving back to the criminal cases, I guess, it seems like there have been actually 3 different incidents in the way I understood this so far was that basically, the third and -- the second and the third you've been highlighting on Slide #4 are basically related. Can you maybe just at least explain a little bit more around this. Are they like totally isolated? And has anyone who has been potentially involved in case #2 or 3, has anyone removed -- been removed from the company at this point?
Roland Harings: Yes. No, clear. I expected the question, Bastian, Roland speaking here. So we very -- in full transparency showed in our annual report and on the presentation that we have -- that we have identified 3 cases here. The one stand alone is the fraud case where samples have been manipulated. And then we have a complex of theft that material -- precious metal containing material were stolen from the site. One case has been, let's say, very public, given the criminal case and the court case, which is taking place in Hamburg, what is called the [indiscernible] case. But we have also some other differences in our inventory, which we detected, and it is another, let's say, another area of theft case. Given that the investigations also with the police are going on as we speak, we are not in a position to disclose anything at this point in time. And I'm sure you understand that this is a very sensitive information that we are not able to share. The important point is we have identified, and I mentioned this in my presentation, in all areas where we handle precious or valuable materials, we have here investigated and did forensic analysis and have put in all areas, the security measures in place. Additional, given the new threat that we see from the organized criminals. And an inventory take that we did now just last month, again, to confirm our inventory stock showed that we didn't see any kind of deviation from the expected inventory. So we are now -- and Rainer mentioned this too, we are now very sure that the protection schemes, the detection schemes in place do the job, and we are not subject to any further fraud or criminal cases overall. But please accept that we are not today disclosing anything. And yes, to the second part of your question, some people have been removed from the organization, full stop.
Bastian Synagowitz: Okay. Okay. Understood. And of course, I do understand that. Then my last question is coming back on your project pipeline. And I guess if I look at that one chart where you single out the, I think, the shorter-term pipeline, which has been approved in midterm, longer term. Just from the looks, it's been becoming a little bit more opaque. So I'm wondering like are you still confident that all the projects you've been talking about for the future that those are all hitting your return targets? And are you potentially -- or are you basically shifting some of those out or potentially even cut them out of your strategic agenda?
Roland Harings: No. The answer, no. We are working and we explained in the Capital Market Day, our stage gate approach and how many projects we have in the pipeline. We didn't disclose the title and what we are doing because we have very openly shared that we -- after the approval after we have achieved the maturity in our stage gate process, we go to the Capital Market and inform in more detail about the projects. We have still, let's say, in the market environment, which we are, is it in Europe? Is it battery recycling we haven't touched on today? Is it new markets like North America? We have highly attractive projects in our project pipeline, and our growth agenda is not going to change. Yet we are a bit more, I would say, cautious in stating numbers at a level where maturity is not yet there. Again, you rightly asked question around Richmond investment. Here, we went out very early because we said speed and going to the market is of essence, which has proven to be the right strategy as you see the progress of the plant. So now with the other projects, we are a bit more, I would say, cautious when making financial statements about the project. But I can assure you the pipeline is well filled, and we are working on the project with full steam.
Bastian Synagowitz: And what have you done in terms of your approach on these projects? Because if you obviously look at the situation, and I guess we are obviously in a very inflationary environment, and that's obviously something which is very hard to really control and predict from your side. But have you changed anything in your approach as to how you validate the budgets of these projects?
Roland Harings: Not fundamentally, no, because we are subject to certain cost increases. We cannot isolate ourselves from these costs. And you also probably hear this from other companies, it's very difficult today to get firm contracts, long-term contracts from your supplier base because they are also exposed to some pricing changes. So here, therefore, we want to announce and will announce numbers only at a later point than we did initially. And yet there is an inflationary environment. There is a lot of industrial activity, specifically in the U.S. and skilled craftsmen doing especially these very, very qualified assembly works that we need for our plants, they are not easy to find. So therefore, we are also exposed to some inflationary effects there going forward.
Operator: And the next question comes from Daniel Major UBS.
Daniel Major: Hi there. Can you hear me okay?
Roland Harings: Yes, fine. Go ahead.
Daniel Major: Great. So a couple of follow-up questions. First on the CapEx. I guess, you previously outlined when you had the EUR 1.1 billion target that there were more projects you wanted to put into the pipeline. And when I look at Slide 20, it still highlights additional strategic CapEx, including the medium-term planning. Do you have a kind of maximum annual sort of run rate of CapEx that you would expect? I mean is the EUR 900 million for fiscal year '24 a peak? Or could we see annual CapEx higher than that level in the coming years?
Roland Harings: I think our ambition level is unlimited. But no, joking here, realistically, we have to see that these projects have to be managed. We have an executive team. We have a management team. We have very strict processes in stage gauge and everything. So this kind of level that you see the run rate last year and the run rate that we planned for this year, this is within the organization that we have within the size of Aurubis that we have today, this is kind of what we can manage. So therefore, without a substantial change of the company, this is kind of maxing out where we are today in our CapEx numbers.
Daniel Major: Okay. And then just a follow-up on that CapEx. When you look at your guidance media for sort of run rate of spend in 2026/2027, EUR 300 million for baseline CapEx. Is that a reasonable long-run sustaining CapEx number for the group, post the ramp-up of the current projects in the pipeline?
Roland Harings: Yes. Yes, sure. That's -- we are adding significant assets to our asset base. And here, we take -- as we keep them always very much state of the art, we have to add a certain amount to our base CapEx. Yes. So that's the orientation we can give.
Daniel Major: Okay. And then just next question, last year, you provided guidance on EBT as well as net cash flow. What's the equivalent net cash flow guidance we should be thinking about for '23/'24?
Rainer Verhoeven: The net cash flow for '23/'24 should be between EUR 500 million to EUR 600 million. Well, it's a huge number, but there is a lot of uncertainty still in the market, but EUR 500 million to EUR 600 million is a reasonable figure, with an invest of roughly EUR 900 million for the year.
Daniel Major: Right. So operating cash flow of EUR 500 million to EUR 600 million. And then final question.
Rainer Verhoeven: Sorry, net cash. Net cash. Not operating. Net cash flow.
Daniel Major: Sorry, yes, net cash flow. Yes. i.e., the like-for-like to the EUR 573 million that you did this year?
Rainer Verhoeven: Absolutely.
Daniel Major: Yes. And then just final one on working capital. You've got a lot of working capital in the last 3 or 4 years. And I guess, part of the justification for that was higher energy prices and other elements that should have eased off a bit. Two-part question. Are you running a normal level of working capital in the group now? Or should we expect some kind of net reduction in the core business? And the second part, you mentioned the EUR 30 million OpEx cost for the ramp-up of Richmond. What's the working capital implication for the Richmond ramp-up?
Rainer Verhoeven: So let's start with the first question. So I wouldn't say that we are running on whatever you want to call, normal net working capital levels. We are having, let's say, the discussion on the Panama channel. Now I'm not talking about Cobre Panama. I'm talking about low water levels at the Panama channel, which can cause risks. We still are in, let's say, in a war in Ukraine, which still has effects -- can have effects. So we are on a bit elevated net working capital levels here for sure, already just to secure our capability of continuing to operate. In addition to that, as mentioned, we have one of the biggest, if not the biggest plant standstill here in Hamburg in front of us that has a huge impact on net working capital in the months to come. So therefore, I wouldn't say that we are having, let's say, normal net working capital levels, not at all. And then I think the second question was the question on net working capital in Richmond. We haven't disclosed that, we don't want to talk too much about it. Let us first start the plant here.
Roland Harings: But I think in order to put in perspective, just adding here to Rainer, given that we are in the ramp-up phase only in the -- towards the end of the fiscal year, the capital -- the net working capital impact for this fiscal year will be very, very small.
Rainer Verhoeven: Yes, yes, absolutely.
Operator: And the next question comes from Simon Jouck from Hauck Aufhäuser.
Simon Jouck: Yes, just a quick question from my side. Do you see an impact of the German budget crisis on your business? And are there any subsidies or support that you will stop getting? And if so, can you quantify it?
Rainer Verhoeven: To your first question, no. To your second question, no, and therefore, nothing to... Perfect. You fine with that?
Simon Jouck: Yes.
Operator: Follow-up question comes from Maxime Kogge from ODDO.
Maxime Kogge: Yes. Last one on sulfuric acid. I think right now, you talked previously of a EUR 50 million headwind in 2023/2024 versus 2022/2023. Can you still confirm this amount? And we see prices moving up, could sulfuric acid become kind of a tailwind next year? Or is it too early to say?
Roland Harings: No, I think we would say today already that we have some tailwind here. So we were given when we had the last, say, quarterly call, we saw a bit more pessimistic. Today, we can say, and we see this in numbers that we have tailwind. So it's better, not as in the glorious days, we had, say, 18 months ago, 2 years ago, not there, but it's -- if you see in a normal year, we are heading towards, I would say, a good normal year with sulfuric acid.
Operator: At the moment, there are no further questions. [Operator Instructions] There are no further questions. And with this, I hand the floor back to Elke Brinkmann.
Elke Brinkmann: Thank you. So we will end the Q&A now. So we at Investor Relations are very happy to answer further questions if you have may something. Finally, I would like to draw your attention to our next event. Our conference call for the publication of the first quarter will take place on February 6. It would be our pleasure to welcome you again. With that, we'd like to thank you for your attention and wish you a wonderful Christmas holidays and a good start to 2024. Thank you. Goodbye. Roland?
Roland Harings: Yes. Just to add, Happy holidays, and thanks for your interest and discussion that we had during this calendar year. And looking forward to talk to you then going in the future about progress that we -- after this very difficult year that we went through. Hopefully, we have much more better news to share with you in the future than we had to share this time. So thanks for your discussion and all the best for the next year.
Rainer Verhoeven: Merry Christmas. Bye-bye.